Operator: Good morning, everyone, and welcome to AcuityAds Second Quarter 2021 Financial Results Conference Call for three and six months period ended June 30, 2021. Before we begin the official remarks, I will read the cautionary note regarding forward-looking information. Certain information to be discussed during this call contains forward-looking statements within the meaning of applicable security laws, including among others, statements concerning the company's 2021 objectives, the company's strategy to achieve those objectives, as well as statements with respect to management's beliefs, plans, estimates and intentions and similar statements concerning anticipated future events, results, circumstances, performance or expectations that are not historical facts. Such forward-looking statements reflects management's current beliefs, and are based on information currently available to management and is subject to a number of significant risks and uncertainties that could cause actual results to differ materially from those anticipated. Please refer to the cautionary statements and the risk factors identified in our filings with Cedar for a more detailed explanation of the inherent risks, and uncertainties that could affect such forward-looking statements. Following the presentation, we will conduct a question-and-answer session. I would now like to turn the conference call over to Tel Hayek, the Co-Founder and Chief Executive Officer of AcuityAds to update you on the operations of the business.
Tal Hayek: Good morning, everyone. And welcome to our Q2 investor presentation. My name is Tal Hayek and I'm the Co-Founder and CEO of AcuityAds. This is the first presentation since we IPO on the NASDAQ recently, so I would like to send a warm welcome to all our new shareholders from all over the world. Over the past few quarters, we talked a lot about illumin. And we talked about a lot about how illumin is changing the world. Well, Q2 was all about execution. Our team did a tremendous job and getting more and more brands to adopt illumin and to benefit from being able to control the consumer journey and to send the right message at the right time to their consumer depending where they are on that journey. I'd like to send a special thank you for the Acuity family for delivering such an amazing Q2. A quarter of overall growth of 55%, a quarter of 75% constant currency growth and a quarter of 60% sequential growth on illumin. And let's not forget a quarter of 154% growth in EBITDA companies, great companies like New York Life, Sparkling Ice, Whataburger and Dell and many others is already began taking advantage of illumin and the consumer journey approach. And not only that they're getting a better success on their campaign. They're also learning a lot because the kind of insight that they're seeing from it is absolutely second to none. We're so excited about Q2 results, revenue was up by 55% year-over-year, which is tremendous growth rates up, but on a constant currency basis, we were up 75%. Now constant currency basis however really the right indicators from a growth perspective why because most of our revenue is derived in U.S. dollars and the strong Canadian dollar understates our real true growth rate. So we were able to deliver $30.3 million in Q2. LTM adjusted EBITDA, let's talk about that for a second because this is something that we have been focusing a lot as a management team in the last few quarters. We made a decision that it's time to bring more profits from the organization. And as you can see, we were able to execute over the last eight quarters consistently moving it up into the right and delivering more LTM EBITDA. We are now recorded $21.8 million LTM EBITDA for the quarter. CTV grew by 400% year-over-year basis. Tremendous excitement about the future of CTV, a great driver for the industry in general and for Acuity and we're really, really excited to see that everything we talked about in the past regarding CTV is becoming reality and advertiser moving more and more from traditional TV to Connected TV. Let's talk about illumin, which is my favorite subject. From a revenue perspective we saw an over 60% growth from Q1 to Q2. That is tremendous growth and we delivered $5.2 million in revenue. Clients at the end of Q2 we saw 40 clients and 17 of them are Tier 1. And just to compare it at the end of Q1 we had 17 clients and nine of them were Tier 1. So we grew the clients by 135%. Again, tremendous growth, as it shows that our team is getting more and more of the brands adopted into illumin. And the majority of revenue in illumin came from brand new business to Acuity. So we're very excited to see more and more logos coming - brand new logos coming into Acuity, and not there coming in because of illumin and we love it. I think most importantly, when you look at in the future, and you look at what we predict to illumin in the future, I can tell you we're very excited about it. Everybody in the company from the sales team, from the execution team, to the tech team, marketing team, everyone is excited about illumin, it gave really an amazing new life to the spirit of Acuity. Because we have something unique and differentiated. That's really put us aside and lets us excel in this world of programmatic advertising. So what we're seeing is amazing amount of RFPs. Lots of demos, lots of demo request, lots of great conversations with major brands out there. And I'm happy to say that the pipeline is an all-time high for the second part of the year. So we do believe the best is yet to come when it comes to illumin. And now we have a few quarters under us actually three quarters with illumin. I'm happy to show this graph. So in Q4, when we launched illumin which is $1.5 million, in Q1 $3.2 million and in Q2 $45.2 million, it's only three quarters in. And we're very excited about where this is going to take us. A lot of investors are always asking us, well, what makes you think that somebody else is not going to copy. Well, I can tell you that I do feel that eventually somebody will copy the process, because it just makes sense to do it. But we have such tremendous advantage over the marketplace, that it's going to be very, very hard for them to catch up. And I do believe we have a lot of time ahead of us before we see anybody catch up. And don't forget that we're advancing all the time. In our latest release of illumin. We've created a better journey, a better journey insights and new insights and access to more inventory. So this is just has been in the latest release. And we have new releases coming in on regular basis. We're also running campaigns on regular basis. And every time we run a campaign, we learn from it, when we learn from it product makes changes and improves the product as well. And these just to say also the types of integrations that we're doing out there is creating a better product as well. And I think above all is the Acuity algorithm that we developed in us over the 11 - the past 11 years, is what makes all the decisions in the background of illumin and that cannot be duplicated. What we're excited to share with you some data from actually what's happening when you run a campaign on illumin. As many of you know, Purple has been a great partners for many years with us. They're all about driving value. And they're all about ROI. And they were nice enough to do a test with us. And what did we do, we took a campaign, and we ran part of it as a complete connected journey. And the other part is a conversion only, which conversion only what we call the bottom of the funnel. It's more like what other DSPs do like the old DSP of Acuity used to do. And the fully connected journey is when you divide the campaign into awareness stage, engagement stage, and conversion stage, and you send different messages along the way, which is what illumin is all about. I'm very happy to report that after running both campaigns, we were able to deliver much better value on the fully connected journey. And Josh Park, the Director of Performance Marketing at Purple was nice enough to share his testimonial here. So as you can see, he's really excited about the results you see. I will now ask Jonathan Pollack, our CFO to share some financial updates.
Jonathan Pollack: Thank you Tal. Thinking back to where we were at this time last year. Right in the heart of the COVID-19 pandemic. And seeing where we are today is truly astonishing to me. I'm so proud of what the Acuity team has accomplished over this relatively short time period. Our year-over-year growth reflects not only the incredible bounce back of our organization from the difficult challenges of last year. It also shows the resilience of the advertising industry as a whole and we are thrilled to be one of the leaders in this movement. In addition to our results, we are also very pleased that we successfully listed on the NASDAQ exchange after raising U.S. $57.5 million receiving incredible support from both our existing investors, as well as an entirely new base of U.S. investors. Complementing this, we are continuing to see rapid adoption of our illumin platform, which has become a strong catalyst for our future growth with revenue and pipeline growth well beyond our internal expectations. This growth is being driven by substantial inbound inquiries for the platform, some of which are from the largest advertising agencies, and brands globally. We're ecstatic about the market opportunity that we're addressing with this innovative solution and believe this current momentum is truly just the beginning of this platform's full potential. With that in mind, I'd like to discuss the financial results from our second quarter 2021. Total revenue in the second quarter increased 55% year-over-year with $30.3 million compared to $19.6 million last year, with approximately 75% of our revenue derived in the U.S., the strong Canadian dollar understates our true growth. On a constant currency basis, revenue increased close to 75% compared to last year. In addition, revenue from Illumin this quarter totaled $5.2 million, an increase of 60% sequentially, compared to $3.2 million in Q1 2021. Gross profit or net revenue was $15.8 million in Q2 2021, a 56.4% increase compared to $10.1 million in Q2 2020. Our gross profit margin in Q2 2021 was 52.2% compared to 51.7% in Q2 of last year. Total operating expenses for the second quarter totaled $13.3 million compared to $10.6 million last year, an increase of 25.5%. Q2 2020 expenses are obviously lower due to COVID related reductions realized last year, including the shutdown in all travel and entertainment expenses, as well as the government wage support received during the 2020 period that was non-recurring this year. Operating expenses as a percent of revenue was 43.9% for the second quarter, down from 54.1% for the same period last year. This improved operating leverage led to an adjusted EBITDA increase of 154% in Q2 2021 to $5.4 million, up from $2.1 million in Q2 2020. And lastly, net income for the same period was $3.4 million, up from a net loss of $1.6 million last year. Turning to our first half results on the next slide, total revenues for the six months of 2021 was $57.7 million, a 32% increase compared to $43.8 million in 2020. Revenue from illumin for the first half of 2021 totaled $8.4 million. In addition, gross profit or net revenue was $30.2 million in the first half of 2021, an increase of 35.4% compared to $22.3 million for the same period last year. Gross margin for the first half of 2021 was 52.3% compared to 50.9% for the same period last year. Total operating expenses for the six months of 2021 totaled $25.4 million, up from $23.4 million during the same period in 2020, an increase of 8.7%. Adjusted EBITDA in the first half of 2021 was $10 million, up 153% from $3.9 million during the comparable period in 2020 and net income in the first six months of 2021 totaled $4.7 million compared to a net loss of $1.4 million for the same period last year. Turning to our balance sheet. Our working capital position continues to grow due to cash generated from the business as well as our recent financing completed simultaneously with our NASDAQ listing. As of June 30, our working capital position totaled $100.1 million, putting us in a very strong financial position. And as you'll see on the next slide, as of June 30 2021, our cash balance stood at $93.4 million. In addition on an LTM basis, in line with our growth strategy, we continue to generate strong adjusted EBITDA. As you can see here, our LTM adjusted EBITDA continues to grow reflecting the strong operational leverage we continue to generate each quarter. I'm incredibly pleased to announce that as of June 30 2021, our LTM adjusted EBITDA stood at $21.8 million, an increase of close to 90% over the same period last year. Lastly, given our recent capital raise, we wanted to provide an update on primary and fully diluted shares outstanding. At June 30 2021, AcuityAds had 60.4 million primary shares outstanding, and 63.6 million fully diluted shares outstanding. In addition, insiders continue to own a substantial stake in the company. That concludes my prepared remarks. I'll now turn the presentation back over to Tal before Q&A.
Tal Hayek: Thank you, Jonathan. We're so excited about Q2 results, the aggressive revenue growth, the illumin growth, and the constant increase in profitability just shows the leverage of the model that as we're increasing more and more revenue, and most of our expenses are fixed, we're able to bring in more profitability into the organization, even more excited about the future. And you guessed it, right illumin, illumin is what I'm mostly excited about. And I love to see how illumin is getting adopted out there. It's getting adopted by more and more brands that are really aligned with the way that they plan. Marketers plan a consumer journey, they always did, they just didn't have the tools to execute on it when it comes to programmatic. And illumin gives them that tool. And not only that, it gives them that tool, it gives them the ability to see the types of insights they could never see before. And that is extremely valuable for them. So I'm happy to report that the illumin pipeline for the second part of the year is extremely strong. And we're very excited about how it looks. And I would like to thank again the Acuity family for delivering such an amazing quarter. And before we said that, we're very excited about the NASDAQ, now that we're on the NASDAQ, we are very excited to go out and tell the story to more and more new shareholders in the rest of the year. And I would like to say a warm welcome and thank you to all our new shareholders, from institutional shareholders, to retail shareholders, I like to welcome you to the journey and the partnership of Acuity. We could never do any of the things, we do without our investors and our partners. So thank you again. Jonathan, I would like to welcome everyone to our Q&A section.
Operator: Thank you, Jonathan. Thank you, Tal. . Our first question comes from Laura Martin at Needham. Laura, you may go ahead when you're ready.
Laura Martin: Can you hear me, okay?
Tal Hayek: Yes, we can see you.
Laura Martin: Okay, great. That's fantastic. So I got a couple, let's start with CTV, very strong growth numbers on the CTV side of the business. Can you talk about I think we were estimating last year is about 5% of your business, as you think through the rest of 2021, how big do you think CTV could get and what are its profit characteristics compared to the other channels of your ad revenue?
Tal Hayek: Yes, so let's start with a profit, I would say it's pretty aligned, the margin that we make from CTV, when we look at campaign, and it comes to illumin, CTV is just a part of it. And it's an integral part of this. So when advertisers are running campaigns, because we have illumin, they can run it together with their display and with other video campaigns on mobile or anything that's programmatic, and they can actually see how it affects the bottom of the funnel campaigns as well. So therefore, it's more or less part of the same profitability side of things. I can honestly say that the growth rates are amazing. And we can see that's going to the rest of the year and years to come. But I don't really know the specific percentage of revenue on CTV and I really don't want to get.
Laura Martin: Okay, and my second question, and my last question is on illumin, so we have about last year round number 77% of your business was managed service, and then illumin is really driving your self-service part of the business. We've been estimating that your managed service has over 50% gross margins, but your self-service meaning illumin has about 30% gross margins, and illumin is growing a lot faster than the overall business. So can you talk about these margin profiles you're reporting today are excellent. Do we end-up with downward pressure on our margin profile as illumin becomes a larger and larger part of the business, do you think?
Tal Hayek: Yes, I think in the long run it's, that's what we can expect as the self-serve illumin numbers grow. The overall margin will gradually go down. But the numbers, the revenue numbers are going to go up substantially. Therefore, the net revenue will go up. And naturally when running self-serve you have less expenses in the backend and it should be more profitable as well.
Laura Martin: If the EBITDA line it will be more profitable?
Tal Hayek: Yes.
Laura Martin: Okay. That makes sense. Okay. Thank you very much. Great numbers, you guys. Congratulations.
Tal Hayek: Thank you.
Jonathan Pollack: Thank you.
Operator: Thank you, Laura. Our next question comes from Darren at Ross. Darren, you may go ahead when you're ready.
Unidentified Analyst: Hey guys, how are you? Thanks for the question. Congrats on the quarter. So just on the 17 kind of is referred to Tier 1 clients. Can you talk about like revenue concentration among illumin there? And then my second one is the clients that have been on since the fourth quarter. How have this - has a spin trended if any, and how it's kind of relate to customers that are coming on today. Said another way, like our new clients that are coming on that are Tier 1, spending more with you than when they came on in the fourth quarter? Thanks.
Tal Hayek: So yes. Darren I would say the I mean, Jonathan could talk about concentration. I don't believe we have much. But I would say that we're looking. As you know, we launched it in Q4. And our best guesses was that we will see the majority of revenue coming mid this year. So we were very surprised, but what we found there was really two types of clients, the clients that are using illumin already and spending a few 100,000 on its per quarter or so. And they gradually increasing their numbers and they're happy with they're getting results. And the bigger clients that are spending also probably similar amounts, but it's more testing for them. But these types of clients are the ones that takes a long time. The sales process takes a long time. So generally speaking, the retention rate is extremely high. I think it's almost a 100%. And the spend trend is looking very, very good. And we still expect the bigger deals to close later on. Obviously will be - we will communicate when that happens.
Jonathan Pollack: Again with respect to the customer concentration of the $5.3 million in the quarter. The largest customer represented about 600,000 of that. The next customer is about 350, 250, 200. So there are many, many customers. But the largest thing about 13% 14%, nothing greater than that.
Unidentified Analyst: Great. Thank you.
Tal Hayek: Thank you.
Operator: Our next question comes from Jacob at Lake Street. Jacob you may go ahead when you're ready. Jacob you can go ahead when you're ready. You are on mute.
Unidentified Analyst: Hey, thanks for taking my question. Sorry about that.
Tal Hayek: No worries.
Unidentified Analyst: Just going back to illumin. How was the illumin spend been trending among your current installed base between Q4, Q1, Q2 now?
Tal Hayek: So the current installed base of illumin or in general?
Unidentified Analyst: So your current customers?
Tal Hayek: Okay. So from current customers most of the revenue that's coming into them and that's from brand new customers. So it's not taking customers from our existing business moving in over to illumin. And from the illumin customers it's been trending very well. As I said before, mostly we have two groups one that are spending very nicely and we're seeing increasing spend over time and then the other ones are really taking a very close look at it, really excited about it and would like to become a much bigger partnership in the future.
Unidentified Analyst: Great. Just switching over to kind of your onboarding process. How are you guys able to ensure that customers coming online with this brand new platform are successful?
Tal Hayek: That is actually a very, very good question. And that is also one of the reason we don't want to go too fast on it. Because when you launch a brand new platform that's never been tried before, you always want to make sure that it's perfect before you hit the gas. So we have - in our sales process we have sales engineers that are very close to the customers and to the sales process, and very close to the time when you need to launch your campaign. And we also watch over what the customers are doing on regular basis, making sure they're doing the right things. Remember illumin is very intuitive to begin with, but the success of the initial customer is so important to us, but we have to - I would say we want to babysit them to make sure that it's successful. So we do that, and we're finding great results. And most of the times there's no issues. Sometimes there are issues and that's the beauty of it, because we're very, very close to the feedback back to the product. And product comes in and make changes and technology gets involved and make changes. We are - in many iteration of illumin already into it. And it's all because we're becoming more and more experts on it. A lot of the assumptions we made in the beginning to build this platform were not necessarily optimal. And so that it was all about getting that feedback, making changes. And it's all about how to be more intuitive. So it's easier to use, how to make it faster even to set up campaigns. Remember on other DSPs it takes hours to set up a campaign. On illumin to take a minute to somebody without any experience. But we want to make that even better. So and performance it's I mean, Acuity has always been about performance. And always been about driving ROI to our customers and illumin drive even more ROI as a completely connected consumer campaign. Hope that answer really helpful.
Unidentified Analyst: Yes, that's very helpful. Thank you. Now with $93.4 million on the balance sheet, what kind of M&A are you guys targeting? Is it going to expand your base business? Are you going more towards expanding illumin even faster?
Tal Hayek: Yes, so we're not very happy about the half a percent that we're getting from the bank on it, they can tell you that much. So obviously, we're looking at M&A, we've been looking at a lot of companies lately. For me, there's this illumin is definitely our focus for the future. And for the present and that's where our focus is. And we have many elements, new elements that are on the plan in the pipeline for - on the product roadmap for illumin. And it could be things that are not programmatic, so things like search and social and out of home signs and influencer marketing, and there's a whole bunch of other ones that we want to integrate into it. Now we're specifically not experts in it. So we would love to acquire companies that are experts in it. We can integrate ready product right into illumin and bring in the talent that can help us and obviously if it comes with revenue, and we can find some synergies and make it the whole thing very profitable. That for me is the ideal company that we're looking for.
Unidentified Analyst: Great. Last one here. Just go to the verticals, travel, hospitality and entertainment. Have you seen a recovery in those? Are they kind of still a little softer than you'd like?
Tal Hayek: They're softer than we would like for sure. But we're starting to see the signs of recovery. Obviously, with all this - the pandemic is over. No, it's not over kind of situation. It's really, really frustrating because we want to see all those come back. But even the ones that are not fully back from a business perspective, they're starting to communicate with their consumers because they have to, and we're seeing some adults going there as well. So I think it's pretty encouraging time and eventually it has to come back.
Unidentified Analyst: Great. Congrats on the quarter. Thank you for answering the question.
Tal Hayek: Thank you, Jacob.
Operator: Thank you, Jacob. . Our next question is going to come from Daniel Rosenberg at Paradigm. Daniel please go ahead when you're ready.
Daniel Rosenberg: Good morning, Tal. Good morning, Jonathan.
Tal Hayek: Hey.
Daniel Rosenberg: I had a quick question on the cost structure. So you guys have navigated COVID really focused on keeping costs contained and are benefiting. Just wondering how you think about the opportunity ahead, whether it's worth kind of pausing the increases in profitability, and really focusing on the growth opportunity or do you still prioritize EBITDA expansion as you see the near-term business?
Tal Hayek: No. I say obviously, we're prioritizing the growth of illumin that that definitely are focused and we can do it in a number of different ways. I mean, there's M&A, and there's investment in product and sales and marketing, and we're doing our strategic planning, and I think it's going to be a combination of all those things. We're going to stay profitable, there's no doubt about that. But maybe we will give up some of the profits in order to move faster. It's all in the planning right now, over the next few weeks. And once we have a better idea of how to proceed, we'll be able to communicate it. But for me, it's an investment on both sides.
Daniel Rosenberg: Okay, great. And then in terms of the teaching initiatives that you put out there for illumin, I know you invested in creating some programs, I was wondering if you could just share, and if you see illumin, starting to become more self-sufficient. Are you still or are they really enjoying having you by their side in designing campaigns on the illumin platform?
Tal Hayek: It's a mix of both. I mean, obviously, the education program that we're running is very good. And it's really creating customers for the future. It's more the junior that are taking it, I would say and the idea and all that and creating and it's not only juniors, but obviously it's I think it's creating our customers of the future. And it's also educating the market about advertising automation, the connected consumer journey and all that. So we're happy with that. We're happy with the leads we're getting from ads and the amount of customers and signups that we're getting from it and the conversations we're having. And on the other side, it's also like I said before, we don't really want to go too fast with illumin because we're learning from it all the time. So it's definitely a mix, but over the next few quarters it's going to be way, way more self-served than managed. And we will definitely encourage customers to do it more on the self-serve side.
Daniel Rosenberg: Okay, great. Thanks for taking my questions. I'll pass the line.
Tal Hayek: Thank you, Daniel.
Operator: Thank you, Daniel. Our next question comes from Kevin Krishnaratne at Desjardins. Kevin, you can go ahead when you're ready. Kevin, you can go ahead, when you're ready.
Kevin Krishnaratne: Hello.
Tal Hayek: Hey, Kevin. How are you?
Kevin Krishnaratne: There we're, good morning guys. Nice to see you.
Tal Hayek: Hi, Kevin.
Kevin Krishnaratne: Good morning, hey really good results guys. I have a question for you following up on previous questions on the gross margin, the net revenue, whatever you want to call it. Tal, you mentioned over time, you know there'll be a skewing back down, it'll move closer and closer below the 50% mark I guess as you get more of the self-serve business in, but even if you think about your self-serve take rate, it's sort of I think you've indicated 30%, 35% that that is quite high relative to what we see in the industry. And I know we've talked in the past on the pricing power that you have there just given the strong ROI that you deliver, as you're going to market with illumin and you're getting in front of larger clients, more global clients that might be having more spend, they might be used to other DSPs that have lower take rates? How do you think about that that longer-term, in the past, you have sort of given up a little bit of margins to win bigger deals, just wondering longer-term, how do you think about take rate?
Jonathan Pollack: I think we still have the luxury of getting more take rates because we have something, two things that are very unique. Number one is illumin, again this is a platform that nobody else out there it is very unique. And it's very desirable at the end of the day, this is what marketers dream of, this isn't what they planned, they always plan consumer journey, and they didn't have the way of activating it up to now. And now they have that system. So we do have the luxury of that. Couple that with an algorithm that delivers a better ROI and ultimately, what customers care about is their ROI. And if they spend a little bit more on margin to make more ROI, when they spend less with other players, then that's a better deal for them. So I do believe we will have the luxury of taking our take rate to be higher. Look, when you think about deals that are very big in the 10s of millions of dollars a year value, it will probably be more flexible, but the net revenue that we're going to have in a system is going to be much higher, and therefore our profits will show that as well. So I think at the end of the day, it's going to be a win-win.
Kevin Krishnaratne: That's great to hear. Thanks for that, as others have mentioned on the call, travel and entertainment is still a little late, but you did see signs of recovery. I think the results you put in Q2 were quite strong in light of that even though we've got a pause on the business there. Can you remind us historically, what that business represents in Q2 and in Q3 in terms of the percentage of revenue?
Jonathan Pollack: Historically, travel, entertainment and things related to travel, entertainment were about 20%, 25%. As you mentioned, we've been able to get that revenue back from other verticals. Tal mentioned, auto has been something we've invested in over the last 12 months, that has performed extraordinarily well, our team focused on auto is really hitting it out of the park. But we're seeing some small increases in certain travel and entertainment. And we do see that coming back. As Tal mentioned, obviously, airlines are up and running again and spending marketing dollars. And we hope that that will continue. But you'll also see hotels, cruise ships, and other ways of travel spending money. And we're not expecting that to be a big part in our internal budget. But if it does, it will definitely allow us to outperform.
Kevin Krishnaratne: Great, last one for me just on profits again, very impressive EBITDA profile, you mentioned that, the focus is on illumin. Can you talk about any sort of spending plans internationally, when you think about the ad market and even CTV, there's a lot of opportunity in international markets, you've got a presence in Europe through a prior acquisition, can you talk about maybe the resources that you've got internationally and any thoughts on using some of that that cash on the balance sheet to increase your presence in international markets, thinking that in the context of again with illumin, you presumably are targeting a larger brands that are global in nature that might want to run global campaigns? Thanks.
Jonathan Pollack: So from a technical perspective, we're international with the exception of Asia, we can't run any campaigns there just because no matter we're having data centers, which by the way, it's not that difficult to do if we decide to do it. For me, that area is more tough around from a sales and marketing perspective. But the rest of the world technically, we're there and we can run. So international expansion is something that's part of the - it's on the table from the strategic plan point of view. And we will be exploring it, I'm personally a fan of it. And I do believe the rest of Europe is something we should pay attention to and some other areas of the world that are up and coming as well. So and we can do that from an M&A perspective or from a hiring perspective as well. And all of that is part of the strategic planning for the future.
Kevin Krishnaratne: Great, thanks and congrats again, guys.
Jonathan Pollack: Thank you, Kevin.
Tal Hayek: Thank you, Kevin.
Operator:  Jonathan, Tal it looks like we have no more questions. At this point, I'll hand it off to you two do close up shot here.
Tal Hayek: Well, thank you everyone for joining our call. As I said before, we truly value all the investors that have joined the journey all the time and like some while ago and recently as well and you all matter and we couldn't have done it without you, I'd like to share one quick story that I heard from the sales team when it comes to illumin and there was a sales meeting with the major agency and major executives but originally did not even feel that you want to take that meeting. In the middle of that meeting, he was so excited about it, and he shared with everyone that everyone from the beginning of times of the managed marketing had been talking about the consumers journey. And we're the only one that actually provide the tools and the  meaning that you can plan your campaigns and activate us from our system and that is something that claims was huge, obviously we think so as well. So that is the feedback we're getting from the street from very, very large advertisers and that's truly excited to be part of Acuity today as we're getting more and more people to about illumin. So thank you everyone on the call today and see you on the next quarterly call.
Jonathan Pollack: Thank you, everybody. Shorin, you may go ahead and end the call.